Operator: Welcome to the inTEST Corporation's 2011 Fourth Quarter and Year-end Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today. A replay will be accessible at www.intest.com. I would now like to turn the conference over to Laura Guerrant, inTEST's Investor Relations Consultant. 
Laura Guerrant-Oiye: Thank you, Britney. Joining us today from the company are Robert Matthiessen, President and Chief Executive Officer; and Hugh Regan,'s inTEST Treasurer and Chief Financial Officer. Mr. Matthiessen will briefly review highlights from the fourth, as well as current business trends. Mr. Regan will then review inTEST's detailed financial results and discuss guidance for the first quarter of 2012. We'll then have time for any questions.
 If you've not yet received a copy of today's release, please e-mail me at laura@guerrantir.com, or you can get a copy of the release on inTEST's website, www.intest.com.
 Before we begin the formal remarks, the company's attorneys advise that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements do not convey historical information but relate to predicted or potential future events that are based upon management's current expectation. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements.
 Such risks and uncertainties include, but are not limited to, changes in business conditions and the economy, changes in the demand for semiconductors, changes in the rates of and timing of capital expenditures by semiconductor manufacturers, progress of product development programs, increases in raw material and fabrication costs associated with our products, implementation of restructuring initiatives, and other risk factors set forth from time to time in the company's SEC filings including, but not limited to, inTEST's periodic reports on Form 10-K and Form 10-Q.
 The company undertakes no obligation to update the information on today's conference call to reflect events or circumstances after the date hereof or to reflect the occurrence of anticipated or unanticipated events.
 And with that, let me now turn the call over to Robert Matthiessen. Please go ahead, Bob. 
Robert Matthiessen: Thanks, Laura. Welcome everyone, to our 2011 fourth quarter and year-end conference call. 
 While Hugh will review the financial results in detail, I would like to highlight some of our achievements. Let me start with the year's results. 2011 was a banner year for inTEST. Over the last few years, we have been transforming inTEST by diversifying our Thermal Products segment and evolving from a semiconductor ATE company to a broad industrial test company. The growth markets we now address are in both semiconductor and non-semiconductor areas, including aerospace, defense, automotive, telecommunications and medical pharmaceutical. Our results for 2011 were fueled by both our traditional semiconductor markets and those new markets addressed by inTEST's thermal solutions. During the year, we further strengthened our operations and increased operational efficiencies while maintaining our fiscal discipline and cost controls, delivering a very strong operating performance, which improved over 2010.
 Net revenues of $47.3 million have steadily improved each year since 2007 and are approaching prerecession results. Gross profit of $22.9 million improved by $748,000 and gross margin of 48% was the highest level since 2006. We ended 2011 with our second consecutive year of profitability, culminating a net income of $9.9 million or $0.96 per share. A testament to our diversification strategy and the hard work of our entire team.
 On a quarterly basis, Q4 2011 marked 9 consecutive quarters of profitability. As we had anticipated, the fourth quarter reflected a turbulent macroeconomic environment, which resulted in a softening of the overall ATE industry. And while it was our weakest quarter of the year, Q4 revenue of $10.1 million and net earnings per share of $0.07 were in line with our guidance. 
 While total bookings for the fourth quarter of 8.1 million declined from Q3 bookings of 10.5 million, we continue to leverage our Thermal division and the Sigma Systems acquisition, and we have made significant progress in diversifying our end market penetration. 
 A year ago, 2010 non-semi-related bookings were 19% of consolidated bookings. A year later, we exited 2011 with 29%. For the fourth quarter, non-semi-related bookings were 38% of consolidated bookings, compared with 41% for the third quarter. And although non-semi-related bookings declined slightly on a quarterly basis, on an overall basis, we fully expect that non-semi-related products will continue to play an even greater role in our -- in the company's success. 
 Now let me turn to the segments in which we operate, which are Mechanical Products, including manipulators and docking hardware, Electrical Products, or tester interfaces, and Thermal Products.
 In the Mechanical Products segment, fourth quarter bookings were $1.1 million compared with third quarter bookings of $2.3 million. Many of our customers in this segment have become more thoughtful about their production needs, and we are finding that there is now a longer approval cycle for purchase orders. Some of this may be due to the strengthening of internal controls driven by new regulations, but approvals do seem to need higher level corporate sign-off before a PO is released. Generally speaking, though, bookings in our Mechanical segment fell off during Q3 and continued downward in Q4, while Electrical segment bookings rebounded in Q4 compared to Q3. Overall, bookings in these segments on a combined basis have improved substantially in the past few weeks of Q1 2012. In fact, we recently received an order for $2.2 million from a major domestic semiconductor manufacturer. The order, which includes manipulator, docking hardware and tester interface products manufactured by both our mechanical and electrical product segments, will be shipped during the first and second quarters of 2012. 
 We feel that we are through the trough in the Semiconductor-related business of the past few quarters and anticipate that we will see improving bookings as we move forward. In fact, at this point in time, quarter-to-date bookings for 2012 reflect an increase of $1.4 million, or 18%, over the level we achieved in all of fourth quarter of 2011. Quarter-to-date bookings for 2012 include $515,000 of bookings for our new Thermonics acquisition, which closed on January 16. If we adjust to eliminate the impact of Thermonics' acquisition, the increase in quarter-to-date bookings for 2012 is $933,000, or 12%. 
 In the Mechanical segment, we continue to develop and refine our manipulator and docking hardware products, which positions us for a well-targeted product mix to develop customer-specific docking solutions. We've had a number of successes this year with new and existing costumers, most notably with our Cobal 250 manipulator, which has been well received. We received a direct docking win for the analog mixed signal industry and one manipulator business for use of microcontroller, analog and flash IP areas. 
 In 2012, we will, of course continue to refine and develop new docking solutions, as these are semi-custom products. Our Cobal 500 manipulator is a completed product and TÜV certification should be complete next week. We are searching for a suitable domestic beta site for that system. This manipulator is suitable for test heads weighing up to 500 kilograms, or 1,100 pounds. A range of popular testers in -- are in this class, including those from Teradyne, Verigy and Nextest.
 For the Electrical Products segment, fourth quarter bookings of $864,000 improved over third quarter bookings of 827 -- $827,000, reflecting the substantial inroads we continue to make in this segment. We have had considerable activity in the Electrical Segment this year and a number of design wins across numerous industries, including disk drives, mixed signal and high-speed digital. In 2011, we implemented a new in-house test system that has greatly enhanced our abilities in product verification and product throughput, which has resulted in reduced development time and streamlined production schedules. We're currently working closely with several customers on strategic interfaces for their respective products.
 Turning to our Thermal segment, although fourth quarter bookings were $6.1 million compared with third quarter bookings of $7.4 million, our Thermal Products division remains our strongest. 51% of fourth quarter bookings for Thermal Products segment came from non-semiconductors customers. Sigma Systems accounted for 19% of Q4 bookings for Thermal Products, compared to 23% of year-to-date bookings for the Thermal Products segment. 
 On January 16, we closed on the acquisition of Thermonics Incorporated, the division of Test Enterprises, pursuant to the agreement we entered into in December. The purchase price for the assets was approximately $3.8 million in cash, which included net working capital of approximately $1.1 million. The addition of Thermonics further enhances our presence in the ATE industry while at the same time provides additional leverage in the growth industries outside of the semiconductor industry.
 The integration of this acquisition is on track and we expect this operation to be accretive in our operations beginning in the second quarter of 2012. 
 Drivers in this area include several things. Mobility is driving the semi test recovery and opportunities in the telecom market continue to offer good business potential. Worldwide, there's continued expansion on all forms of technology, especially in fiber optic and mobile realms. As the boundaries of telecom and media entertainment continue to merge, an increased demand for bandwidth is driving expansion. And as more and more people continue to use applications such as Facebook, which I understand has roughly 700 updates a second, Twitter, with 600 tweets a second, and Google, with 34,000 searches a second, network infrastructure is going to have to expand to accommodate this growing demand. In all cases, developers, manufacturers and service providers need assurance that their equipment will work in their operational environments.
 In late 2011, a contract was signed for the development of a liquid process chiller for the nuclear power industry. This project initially will last for 18 months and result in the delivery of a qualification system. The application presents a unique and challenging set of thermal load requirements, which cannot be met by commericial -- by the commercial market. Sales potential with this customer are projected to between -- be between $5.8 million and $9 million over the first 3 to 5 years. Clearly, the expansion of our thermal group presents inTEST with increased opportunities arising from new capabilities and products from the Thermonics brand. We are forging a new path and tapping new markets. In fact, we are identifying markets and creating customers with new products they've never had before.
 In summary, inTEST delivered another strong year and quarter. We have continued to advance our growth initiatives. The diversification of our served markets via our thermal group is a strength we will leverage going forward. The conservatism we experienced with our semiconductor customers in Q3 and Q4 seems to be loosening up. The recovery of our semiconductor customers, along with the new non-semi businesses in which we are engaging, give us confidence in long-term growth prospects for inTEST Corporation. 
 It's an incredibly intriguing time for our industry with new developments in technology, market conditions and end-user requirements driving innovation. Our operations have never been stronger, and we are well-positioned to work with our customers to further refine and define the next steps for both our semi and non-semi customers. 
 I would now like to turn the call over to our CFO for the financial review. Hugh? 
Hugh Regan: Thanks, Bob. Net revenues for the quarter ended December 31, 2011 of $10.1 million decreased 14% from third quarter net revenues of $11.7 million and were flat when compared with fourth quarter 2010 net revenues of $10.1 million. Fourth quarter end-user net revenues were $9.2 million, or 91% of net revenues, compared with third quarter end-user net revenues of $10.6 million or 91% of net revenues.
 OEM net revenues were $894,000, or 9% of net revenues, compared with third quarter OEM net revenues of $1.1 million, or 9% of net revenues. Net revenues for markets outside of semiconductor test were $4 million, or 40% of net revenues, compared with $3.6 million, or 31% of net revenues in the third quarter.
 On a product segment basis, fourth quarter net revenues for the Mechanical Products segment were $1.9 million or 19% of net revenues, as compared with third quarter Mechanical Products net revenues of $3.2 million or 27% of net revenues. Our Thermal Products segment had net revenues of $7.4 million or 73% of net revenues as compared with third quarter Thermal Products net revenue of $7.6 million or 65% of net revenues.
 And finally, our Electrical Products segment reported net revenues of $823,000 or 8% of net revenues as compared with third quarter Electrical Products net revenues of $940,000 or 8% of net revenues. 
 The company's overall gross margin for the third quarter was $4.9 million or 48% as compared with $6.1 million or 53% in the third quarter of 2011, and $4.8 million or 47% in the fourth quarter of 2010. A less favorable product mix in our Mechanical Products and Electrical Products segment drove the reduction in gross margin in the fourth quarter. 
 Our consolidated material cost in the third quarter of 2011 was 31.4% -- excuse me -- in the fourth quarter of 2011, was 31.4%, compared with 30.6% in the third quarter. The material cost in our Mechanical Products segment increased to 35.4% in the fourth quarter from 31.9% in the third quarter due to an increase in the percentage of manipulator products shipped in the fourth quarter, which increased from 9% of this segment's revenue in Q3 to 20% of this segment's revenues in Q4, as well as a reduction in the net margin for docking hardware products, which declined from 73% in Q3 to 71% in Q4. The material cost in our Electrical Product segment increased to 46.4% in the fourth quarter from 36.0% in the third quarter due to increased sales of a lower margin tester interfaced to a major domestic OEM.
 Offsetting these increases was a reduction in the material cost of our Thermal Products segment, which declined slightly from 29.3% in the third quarter to 28.7% in the fourth quarter. The decline in the consolidated gross margin was also impacted by an increase in our fixed manufacturing costs as a percentage of net revenues. These fixed manufacturing costs, which were $1.6 million in both the third and fourth quarters of 2011, increased from 13.8% in the third quarter to 16.1% of net revenues in the fourth quarter, due to the aforementioned quarter-over-quarter decline in our net revenues. 
 I will now discuss the breakdown of operating expenses for the quarter.
 Selling expense for the fourth quarter was $1.3 million or 13% of net revenues compared with $1.5 million or 13% of net revenues in the third quarter, a decrease of $186,000 or 13%. The decrease was primarily due to reduced sales commission expense on lower levels of revenues, as well as reduced levels of travel cost. These declines were partially offset by increases in accruals for product warranty and increased salary and benefit costs.
 Fourth quarter engineering and product development expense was $796,000 or 8% of net revenues compared with $809,000 or 7% of net revenues, a decrease of $13,000 or 2%. The decrease was primarily caused by reduced spending on patent legal matters. 
 General and administrative expense for the fourth quarter was $1.6 million or 16% of net revenues compared with $1.4 million or 12% of net revenues in the third quarter, an increase of $171,000 or 12%. 
 During the fourth quarter of 2011, we incurred approximately $148,000 of costs associated with our acquisition of Thermonics, which closed in the first quarter of 2012. Other income for the fourth quarter was $10,000 compared with $5,000 for the third quarter. And for the fourth quarter, we recorded an income tax expense of $420,000 compared with an income tax benefit of $2.8 million booked in the third quarter. Our effective tax rate in the fourth quarter was 35%, which was higher than the 5% effective tax rate guidance that had been previously provided. We currently expect that our effective tax rate will be 25% for 2012 based upon our current estimates for the year, which is below the 35% effective tax rate we have previously guided to. The reduction in the expected effective tax rate for 2012 is based upon a number of factors, including the proration of domestic and foreign earnings and our ability to use our California net operating losses during 2012.
 At December 31, 2011, we had total deferred assets of $2.5 million, which were split $453,000 to current assets and $2 million to long-term assets. Fourth quarter net earnings were $769,000 or $0.08 per diluted share, as compared with third quarter net earnings of $5.2 million or $0.50 per diluted share. Included in the third quarter results was the impact of the $2.9 million reversal of the valuation allowance on our deferred tax assets, which was equal to $0.28 per diluted share. Absent the reversal of the deferred tax valuation allowance, third quarter earnings were $0.22 per diluted share.
 Consolidated headcount at the end of the fourth quarter, which includes temporary staff, was 140 compared with 139 at the end of the third quarter. As we have noted before, we closely monitor our resource levels and will adjust as needed when we see any prolonged softness in demand levels.
 I'll now turn to our balance sheet. Cash and cash equivalents at the end of the fourth quarter were $14 million, up $1.9 million from the $12.1 million reported at September 30, 2011. The increase in cash was due to strong cash collections during the quarter. We expect cash and cash equivalents to decline in the first quarter of 2012 due to the acquisition of Thermonics. However, we currently expect cash will begin increasing sequentially again starting in the second quarter of 2012. 
 Accounts receivable at the end of the fourth quarter was $6.2 million, a decrease of $627,000 from the $6.8 million at September 30. The decrease was driven by reduced levels of net revenue in the fourth quarter compared with the third quarter.
 Inventory at the end of the fourth quarter was $3.9 million compared with $4.7 million reported at the end of the third quarter. The inventory level at the end of the third quarter of 2011 had increased over historically normal levels due to shipments scheduled in the first few weeks of October of 2011.
 Capital expenditures during the fourth quarter were $95,000 compared with third quarter capital expenditures of $45,000. As Bob noted earlier, total bookings for the fourth quarter were $8.1 million compared with $10.5 million for the third quarter, and bookings from markets outside of semiconductor tests were $3.1 million or 38% of fourth quarter bookings. This compares with bookings from markets outside of semiconductor test of $4.3 million or 41% of 2011 third quarter bookings. The decline in non-semiconductor bookings in the fourth quarter was the result of increased bookings in the third quarter driven by over $1 million in orders from one customer to replace equipment damaged in the Thai floods.
 The backlog at the end of the fourth quarter was $4 million, compared with $6.1 million at the end of the third quarter of 2011.
 In terms of our financial outlook, as noted in our earnings release, we expect that net revenue for the quarter ended March 31, 2012, will be in the range of $9.5 million to $10.5 million and that we will incur a net loss ranging from a loss of $0.03 to a loss of $0.07 per diluted share.
 The Q1 2012 net loss is driven by the expected operating losses in our Mechanical Products and Electrical Products segments due to the reduced bookings these segments experienced in the third and fourth quarters of 2011 combined with an unfavorable product mix. We currently expect that our Q1 2012 material costs as a percentage of revenue, will range from 36% to 39% due to this unfavorable product mix. 
 Also contributing to the operating loss will be the onetime costs associated with the acquisition and integration of our Thermonics acquisition. We currently expect these onetime costs, which will include facility closure costs, to be in the range of $0.5 million. We expect this acquisition will be accretive beginning in the second quarter of 2012 and we currently expect a 30% net contribution margin on the incremental revenues which we expect will improve sequentially during 2012.
 Please note that our outlook is based on the company's current views with respect to operating and market conditions and customers' forecasts, which are subject to change. 
 Operator, that concludes our formal remarks. We can now take questions. 
Operator: [Operator Instructions] Our first question comes from the line of Mark Miller with Noble Financial. 
Mark Miller: Just talking about the Thermonics integration. And you're saying that's going to hit you for some restructuring costs this current quarter but then you see that becoming accretive. How does that phase in? Does that come at all within 1 quarter or 2? Or does that literally progress throughout the year in terms of the accretion of that acquisition? 
Robert Matthiessen: We currently expect, as I said, that our acquisition costs will hit in the first quarter. And the restructuring costs are really related to a facility in California, which we closed down in the 2nd week of February, so we'll be taking the full hit for the balance of that lease, which was a one-year lease, in the first quarter. I did say that we expect a 30% return on the revenues we earn on that segment in the second quarter, and then we do expect that to increase sequentially throughout 2012, gradually going up by 1% or 2% a quarter. An ultimate or a top target for that at this point has not been fully established yet. We had originally thought that we would get up to a 40% return on those, our net return on those revenues. We're not sure that we can get to that point at this point, but we fully expect that we can get to the 35%, 36% return level on those revenues. 
Mark Miller: That's by the end of this year? 
Robert Matthiessen: It might be -- that might not get to it by fourth quarter, it might be the first quarter of next year, the second quarter of next year. But we don't expect it out beyond that point at this time. 
Mark Miller: Okay. You mentioned you had some flood-related bookings, is this basically -- which helped you in the third quarter. Is this -- are you seeing any more for that? Or is this basically done in terms of replenishment of equipment? 
Hugh Regan: We think replenishment's pretty much done in that area. 
Mark Miller: Okay. Just one other question. Could you give me your cash flow from operations? 
Hugh Regan: For the year -- bear with me one second. Cash flow from ops for the year was $7.8 million. 
Operator: Our next -- 
Robert Matthiessen: Mark, let me go back to the replenishment question. I was referring to the Thermal group, and we think the replenishment has been addressed there. There are a lot of testers that were damaged during that thing, and not all of the decisions have been made on how they will replace them yet. And so there's going to be some ongoing tester sales throughout the year for that, and I would expect that we'll get some of the Docking Hardware and Manipulator business from that. But we don't have anything specific yet. 
Mark Miller: Do you see any positive -- just on that note again, about what's going on in the disc drive industry. Do you see any positive or negative from -- China has kind of limited Western Digital's integration of Hitachi, it's kind of pushed out for 2 years. Is that a help or a hurt or the same with the Seagate Samsung deal that was pushed out one year by China? 
Robert Matthiessen: I don't see that it affects us very much. I think possibly the biggest benefactor from this whole thing will be flash memory. It will give them a chance to get a bigger foothold. 
Operator: Our next question comes from the line of George Mirma [ph] with GameCo [ph] Capital. 
Unknown Analyst: I have a few questions. The first one -- thank you for the guidance on the tax rates and the Thermonics acquisition; that's helpful. I wanted to get a -- I'm trying to get a feel a little bit for the operating model, looking forward here, for 2012. Can you give me any kind of rough guidance on what your targets are for gross margins and operating expenses are, either expressed in dollars or in percents of revenues? 
Hugh Regan: Sure. As far as gross margins, we've been averaging in the upper 40s for the last several quarters in 2010 and 2011, and I would expect that we will continue to range in the -- at the low-end, the to mid to upper 40s. And when I say mid, that's like 46%, 47%. The first quarter of this year will probably be our lowest margin for the year. And that's because you've got revenues dipping, which caused our fixed costs as a percentage of revenues to increase and therefore reduce our margins slightly. But -- and we also are expecting probably the most unfavorable product mix we'll see for the year, and that's because of some heavy sales of tester interfaces to an OEM at less than our typical margin profile. I think -- for the balance of the year, I'm optimistic that we'll see the margin returning to the 48% to 50% level, depending on how revenues trend up over the balance of the year, depending on the slope of the curve of the recovery. SG&A, we -- it was 25% for the last 2 years and I would expect that -- of our revenues -- and I would expect that, that would hold for the foreseeable future. Q1, again, will be an aberration due to the acquisition of Thermonics and costs associated with the closing of that transaction. But beyond the first quarter, I see us going back to that 25% level. Product engineering and product development was at 7% for the last 2 years, I would see us ranging from 7% to 10% depending on where we are in the cycle and where our spending is on related to new product initiatives. And the operating margin, for instance, for the last year was approximately 16%. We're optimistic that we can have a -- achieve a similar target in 2012, but clearly, it depends on the slope of the semiconductor recovery and how prolonged it is. 
Unknown Analyst: Okay, that is helpful. And looking out this year, you did 2010, $46 million revenue, 2011, $47 million, due to the semis going down and your non-semi going up a little bit, it's offsetting some of that. In 2012, when you add in the Thermonics acquisition, if things were flat I guess that'd put you around a $52 million revenue? Would a number $60 million north of total revenue be a realistic viewpoint or... 
Hugh Regan: I think it's possible. It all depends, clearly, on further penetration of markets outside of semiconductor test. Those revenues grew nicely this year, I mean, our bookings increased from -- or our revenues increased from $8 million in 2010 to $12.6 million in 2011, which was a 58% increase. I'm not sure what our level of increase will be for next year. As we have said to a number of investors as we've been out on non-deal road shows, these are new markets to us, and we're not really sure of the growth characteristics of all of these markets at this point. But we would expect them to grow at a greater rate than the Semiconductor business overall. So is $60 million possible? It's possible. And it also depends, clearly, on additional acquisitions. The company is clearly focused on growth through acquisition. The Thermonics transaction that we just closed was really more of a defensive acquisition done because a competitor had become available. The company is focused on increasing its footprint in the semi space -- or the non-semi space with another acquisition in that area. And hopefully, we can have something done by the end of the year that might be able to contribute some revenue in 2012. 
Unknown Analyst: On your Semi business, is it driven mostly by capacity expansions or is it just is as sensitive to moving down the nodes -- smaller nodes in 3D markets? 
Robert Matthiessen: It's any change drives it. It's driven by capacity, and capacity will typically drive the Manipulator business because capacity mean -- normally means new testers, which means new manipulators. However, in addition to that, any changes in devices that require different methods of probing them, for instance, or different handling systems to move them around, requires new docking hardware and new electrical interfaces from us. So we benefit from both capacity increases and from technology advances. 
Unknown Analyst: The docking hardware business, that has turned up, I presume? Of late? 
Robert Matthiessen: Yes, that's been strong all along actually. The Docking Hardware business is a little bit different than the Manipulator business in that when things are down, docking is normally fairly strong, because customers will take existing equipment and try to mix and match to get more throughput between testers and various probers and handlers. And so, our Docking Hardware typically tends to go on even in 4x. Now when you're selling a bunch of manipulators like we did this past quarter, you also get docking hardware along with that. You literally sell a set with each manipulator and so you get hits on both ends with the Docking Hardware business. 
Unknown Analyst: Yes, I know the Docking Hardware business typically leads you out of down cycles so I'm just checking if that -- all the pointers are pointing that way. 
Robert Matthiessen: They are. 
Operator: Our next question comes from the line of Bob DeLean [ph] with Red Rock Partners. 
Robert DeLean: I was hoping you could talk a little bit more about Thermonics. Hugh, I know you said it was more a defensive acquisition than strategic. And I believe I read that they did about $5.4 million run rate. You talked about the integration process a bit. Where are you in that? Obviously, some facilities are won, and California's been closed. Is there a lot more to do? And what's your time line for really fully integrating that? 
Robert Matthiessen: We'll be in full production on Friday. It is integrated and we are beginning to ship -- well, we begin to build product and ship product a few weeks after that. And so it's been a very rapid turnaround, mainly because it's essentially the same business we're in, in Temptronic and we're fully familiar with it. The equipment is slightly different. It offers some slightly different benefits to our existing equipment and so it broadens our customer base somewhat. And we have had a very smooth transition, thanks in large part to the people that run that group. And so we expect to be in full business there during Q2. 
Robert DeLean: With respect to that, I looked on their website, it looked like they utilized mostly an outsourced sales force. Is there a margin opportunity there to bring that in-house? 
Robert Matthiessen: Well, we both do that. We have what you call rep mothers and then use reps and distributors on the outside. However, there will be a benefit, of course, in pricing now that we have one less competitor out there. 
Robert DeLean: Okay. And then with respect to these onetime expenses of about $0.5 million, will that all be in G&A in Q1 or is that going to be a separate line item? 
Hugh Regan: The costs associated with the termination of the lease will have hit a separate line item for restructuring costs, as those costs typically do. The costs associated with those moves and integration of that facility. There's always been a lot of travel, clearly, as staff from our Massachusetts operation have had to go back and forth several times to California in connection with that integration effort. And the cost of the move of that equipment and other integration costs will flow through G&A. 
Robert DeLean: And so with that really mostly now integrated, again, your appetite for another acquisition -- and again, I know you've been thinking about something bigger, this is not the big one. And the balance sheet seems like it certainly could support something else out there. So, Hugh, you kind of alluded to maybe by the end of 2012, is there -- can you get a little more specific on that? 
Hugh Regan: At this time, we don't have any particular target in our sights. We have discussed previously that we have engaged a boutique bank that assisted us in prior acquisitions last year. We had identified a number of potential opportunities with them and had stopped because of a lack of currency at the time. Cash did build over the balance of the year. The stock price has moved up a little bit, although the stock price is still below where we would consider it to be appropriate to use as a currency in an acquisition. We're again ready to focus on looking at opportunities. We have had some discussions with several banks about helping us finance our growth  and we're about to put a working capital line of credit in place with one of those institutions in the next several weeks that would be able to assist us in at least putting a down payment on something. And these banks have also indicated a willingness to finance based upon our current balance sheet as well, so at very attractive rates. So we're lining up the financing side and -- as our operations people look at other opportunities. But at this point, we've got nothing in the pipeline that has any probability of closing. 
Operator: Our next question comes from the line of the Jay Srivatsa with Chardan Capital Markets. 
Jay Srivatsa: I guess sort of at a high-level in the Semi business, we have several large companies talking about bottom in Q1 and starting to see some upside going forward. What's your sense in terms of the order activity itself? What are you seeing out there? And how comfortable are you in terms of some of those comments that have been made so far? 
Robert Matthiessen: We're surprisingly optimistic with what's going on here. We're getting a lot of quote activity. We've gotten quite a few recent orders that were, not necessarily surprising, but came over earlier than we thought. And so, things seem to be opening up pretty quickly as far as I'm concerned. 
Jay Srivatsa: All right. Competitively, you mentioned the acquisitions a bit. But how has the landscape changed in the last 6 to 12 months through these downturns? Have you seen competitors move to sidelines? Are you seeing more consolidation? Can you kind of give us a landscape of what's happening there? 
Robert Matthiessen: Yes, the competitive landscape seems to have changed somewhat and because most of our competitors in the, at least in the semi space, are private, it's difficult to understand precisely what's going on. But certainly, we're getting business that at one time went elsewhere, and so we have seen during the town -- downturn, at least in 1 or 2 instances, some significant weakening in the competitive landscape. That's not to say they won't recover but at the moment, it seems to be static out there in that area. Of course, in the thermal group, our competition just became us. So at least in the semi space we're the largest one there, although there are some other smaller guys who are still out there to compete with. 
Jay Srivatsa: As you look at acquisitions, are -- is the semi space an area you're focused on? Or are you looking to broaden it in other product areas? 
Robert Matthiessen: We're looking to broaden outside. As Hugh alluded to before, the Thermonics acquisition was an acquisition of convenience for us because it was available and at an attractive price. But our focus is outside semi in test areas that are niche businesses that would be accretive to us quickly, businesses that we understand, businesses that have intellectual property. And for us to understand it, stand the business, it would probably have to be something that is leveraged out of the thermal group. There's a lot of business that use thermal conditioning for instance, accelerated life test, that sort of thing, that we're not involved in at this point. So there's ripe areas to look at our there, and that's where our focus will be. 
Operator: [Operator Instructions] Our next question comes from the line of Ryan Warner [ph], private investor. 
Unknown Attendee: I have a few questions for you. First off, can you talk in your thermal areas, sort of which industries you're experiencing maybe the best traction versus some of the areas which are kind of slower? You sort of outlined sort of broadly some of the areas you're going after. I'm just wondering where most of your orders are coming from? And maybe along the lines of that same question, can you -- do you you think you can add a little bit of color on the nuclear order you mentioned in that area? Could you just give us a sense of sort of what -- what industry that comes out of with a little more specificity? And you mentioned -- what was sort of your competitive strength that affect -- that sort of gave you a win in that new area? 
Robert Matthiessen: Okay. Let me answer from last to first because I can remember the last one much easier. 
Unknown Shareholder: I have got 2 more behind me, please. 
Robert Matthiessen: Okay. Okay. Our strength in these businesses so far outside of semi is the fact that we're very adroit at semi-custom systems. We get that from our experience in the semiconductor world, which is entirely that way. Many of the thermal businesses -- the thermal companies that we are competing with on the outside are old line, rather large companies that have standard products. And to date, the model out there has been, in industrial thermal tests, for a customer to go to one of these big companies that make ovens or whatever, and say, "Here's what I have to do." And that big company says, "Well, we have this product. And if you modify your tests such and such a way, you can do this." We take the opposite tact. We say, "Hey. What do you have to do to test? We'll build the equipment to fit your product." This is a model that's not generally been used out there, because most of these companies we compete with are rather large. And so being small and able to move quickly, we can do that fairly well. And so we get these custom jobs to do. You were talking about the one with the nuclear industry. In fact, I cannot expand on that right now because of some rules we're under. We'll try to get some more information for you as time goes on here. But in terms of all these industries I'm talking about, no one or the other is bigger than others -- with the exception of medical pharmaceutical, and we have not done much there yet. We've had a few nibbles there, but that has not fed us very well. But certainly, telecommunications, anything to do with mobility, everything, every semiconductor -- a lot of the semiconductors that are built nowadays, are going into -- not just semiconductors but electrical products -- are going into hostile environments. That hostile environment can be your kid's pocketbook, for an iPad. As opposed to, most parts used to be going into desktop computers, which are a controlled environment and televisions, controlled environment. It's the portability that's driving a lot of the necessity for extreme thermal testing. And so, of course telecommunications is big in that. 
Hugh Regan: One thing I might suggest to you is the investor presentation that we have on our website has an appendix in it that has 8 different case studies that we've put into the presentation to show investors the various industries that we've entered with our Thermal Products outside of semiconductor test and the various issue that our customer is facing, and the solution that we created for them. So I think you might find that of interest and take a look at it. It's an example of a broad range of industries that we've responded to customer needs for and created solutions. 
Unknown Shareholder: That would be great. And one little follow-on, on that part. How do you expect the margins to shake out versus your semi area in that business? 
Hugh Regan: Our margins for our non-semi... 
Unknown Shareholder: Your thermal non-semi, let's say, versus your thermal semi. 
Hugh Regan: Okay. There is not a significant -- for instance, on thermal enclosures, which are the products when combined with our ThermoStreams, or forced tight air systems, that we sell into markets outside of semiconductor test -- the margins on those products are not really materially different outside of semi test than they are in semi test. 
Unknown Shareholder: I see. 
Hugh Regan: So again, when you're mixing those 2 products together, our thermal enclosures actually are one of our higher margin products in the company and -- but when you compare semi versus non-semi with those specific types of products, there really is no difference in the margin. 
Unknown Shareholder: Okay, one last quick question. I know you've done well historically with Texas Instruments and I assume they -- I don't know where they are with consolidating their national semi acquisition, any -- has that led to any incremental business? And to the extent you can comment on it, how much incremental business might that be over time? 
Robert Matthiessen: Yes, it has resulted in business for us. I'm reluctant to give a number because we're not allowed to. But it's substantial business for us; TI has always been a very good customer. In the past, we had not done a lot of business with National. Now that National is part of TI, we expect that we will have the opportunity to get more business there, and we expect it to be substantial. 
Unknown Shareholder: Just a last one, and I'll get in the queue again. You mentioned -- obviously, sort of the current -- the tone of business over the last summer through the end of the year was very sloppy. And you mentioned that some of the orders seem to be taking a little bit longer in terms of parts of the cycle of approval. I'm just wondering, if you feel like competitively from a market share perspective, you lost any ground or it was really virtually 100% an industry phenomenon? 
Robert Matthiessen: No, I don't think we lost any ground. I think we've gained some market share along the way. But always, when things slow down, the improvement -- the approval cycle moves upstream, which is what I was talking about. And then, as things loosen up, they allow the lower-level people to go out and buy. And I think that's what we're seeing now. 
Operator: Our next question comes from the line of George Mirama [ph] with GamCo [ph] capital. 
Unknown Analyst: Another follow up. And since you guys are clearly heading down the path of trying to grow aggressively in the thermal non-semi areas, I was sort of curious as to -- you have a whole host of vertical markets that this could go to. And I was wondering what is your -- from a sales and marketing standpoint, what is your go-to-market technique and strategy? And for 2012, what kind of further initiatives are you going to do to have customer facing sales marketing approaches to this? 
Robert Matthiessen: So far, what we have done is target obvious industries that would benefit, or do benefit, from thermal testing. And literally, go to their trade shows, and see what they're doing, and approach them, and get business that way. It's been a grassroots effort. Now as we do this, we learn things about the distribution channels involved with those businesses. They may differ from what we've traditional had in semi. And we've not made any significant changes there yet, but we probably will once we get a handle on all of this. And a lot will depend on our acquisition success during the year, because that may tend to steer this in a specific direction. And you're right, we're approaching a lot of different industries at the moment. And it may be that one of these industries is the real feeder that we will go to in the end. So... 
Unknown Analyst: Yes, that's kind of what I was getting that. Because I was wondering if you're doing a direct sales and you need to hire certain sales people for those different verticals? Or -- as a costumer, say in automotive or telecom or et cetera, do they typically use consultants that you can tap in to make these decisions? Or how are these -- how does this market work? I just want to kind of... 
Robert Matthiessen: It's all of the above, George. 
Unknown Analyst: Yes, yes. 
Robert Matthiessen: And it's a learning curve for us, at the moment. But I expect that you'll see modifications in our sales strategy as the year progresses and we become more knowledgeable of these markets. 
Unknown Analyst: Yes, because with the success you've had to date, you've been pretty stunning actually, and that's with the arm tied behind your back it almost seems, so I'm just... 
Robert Matthiessen: Yes, it is. But the commonality, of course, is the equipment we're selling. And so, even though you're in a different industry, it's not a whole lot different. I mean, we're accustomed to using direct people, we have direct people. We're accustomed to using reps, we've been using reps for years and years. And in the Thermal business, we're accustomed to using distributors. We've been using them for years and years. So we have all 3 of those bases covered in terms of how we interact with customers. 
Operator: Thank you. And there are no further questions at this time. I would like to turn the conference back to Mr. Matthiessen for any closing remarks. 
Robert Matthiessen: Well, thank you for your interest in inTEST. In closing, we remain confident in our business prospects. inTEST occupies a profitable niche space. We have a proven long-term history with customers across the globe and provide high-quality, mission-critical products that perform in high stress environments. We'll continue to work with our customers and drive innovations that allow us to continue being a leader in our target markets. Thanks again, and we look forward to updating you on our progress when we report on our first quarter results. Good evening. 
Hugh Regan: Good night. 
Operator: Thank you. Ladies and gentlemen, that concludes the inTEST Corporation 2011 Fourth Quarter and Year-end Financial Result Conference Call. We thank you for your participation. You may now disconnect.